Operator: Good day, ladies and gentlemen and welcome to the Q4 Fiscal 2018 Autodesk, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we will host our question-and-answer session and our instructions will be given at that time. [Operator Instructions] As a reminder, this conference call may be recorded. It is now my pleasure to hand the conference over to Mr. Dave Gennarelli, Investor Relations. Sir, you may begin.
Dave Gennarelli: Thanks, operator. Good afternoon. Thank you for joining our conference call to discuss the results of our fourth quarter and full-year fiscal year 2018. On the line is Andrew Anagnost, our CEO; and Scott Herren, our CFO. Today’s conference call is being broadcast live via webcast. In addition, a replay of the call will be available at autodesk.com/investor. As noted in our press release, we have published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments and we will not repeat them on this call. During the course of this conference call, we will make forward-looking statements regarding future events and the anticipated future performance of the Company such as our guidance for the first quarter and full-year fiscal 2019, our long-term financial model guidance, the factors we use to estimate our guidance including assumptions regarding ASC 606, and tax reform, our maintenance to subscription transition, our customer value, cost structure, and market opportunities and strategies, and trends for various products, geographies and industries. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. Please refer to the documents we file from time-to-time with the SEC, specifically our Form 10-K for the fiscal year 2017, our Form 10-Q for the periods ending April 30, July 31, and October 31, 2017 and our current reports on Form 8-K, including the Form 8-K filed with today’s press release and prepared remarks. Those documents contain and identify important risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. Forward-looking statements made during the call are being made as of today. If this call is replayed or reviewed after today, the information presented during the call may not contain current or accurate information. Autodesk disclaims any obligation to update or revise any forward-looking statements. We will provide guidance on today’s call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. During the call, we will also discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of our GAAP and non-GAAP results is provided in today’s press release, prepared remarks and on the Investor Relations section of our website. We will quote a number of numeric or growth changes as we discuss our financial performance, and unless otherwise noted, each such reference represents a year-on-year comparison. And now, I would like to turn the call over to Andrew.
Andrew Anagnost: Thanks, Dave. Q4 was another milestone quarter for our subscription transition. Key to the quarter was the strong growth in both ARR and ARPS even as subscription additions fell below expectations. We finished the year with better than expected performance on many of the traditional financial metrics, such as revenue, deferred revenue, EPS and cash flow, all of which are becoming more relevant again as we pass the inflection point on our business model transition. Overall, these results bolster our belief in our ability to achieve our fiscal ‘20 goals around ARR and free cash flow. There are several key outcomes of Q4 that I want to highlight. Total annualized recurring revenue or ARR grew 25% in subscription plan ARR more than doubled again. Both ARR and subscriptions for subscription plan are now greater than the ARR and subscription base for maintenance, which is a significant milestone and in line with our projections when we began the transition. Annualized revenue per subscription or ARPS inflected up in Q4, also in line with our projections. Recurring revenue has increased to 93% of total revenue, and we continue to the see faster than expected migration of maintenance customers and subscription with the maintenance-to-subscription program for M2S. Beyond that, we remain enthusiastic about our long-term market expansion initiatives in both manufacturing and construction, as we continue to introduce new technology that brings design and make closer and together, and drives the convergence of manufacturing and construction. Now, I know you want to hear what’s going on with sub adds, and I will get to that. But, let’s first start by talking about ARR. The continued positive trends we’re seeing in ARR are clear signals that the transition is working. I’ll stress once again that ARR is the most important metric when evaluating the health of the business at this stage of the transition. The strength in total ARR was broad-based with all three major geographies growing ARR at 20% or more. Subscription plan ARR more than doubled, driven by growth in all subscription plan types but led by product subscription. We continue to drive tremendous growth in product subscription ARR on both the year-over-year and sequential basis. Now, let’s talk about subscription additions. To provide you more insight into the subscription dynamics, we need to break out core and cloud subscriptions. To be more explicit, the core business represents the combination of maintenance, product subscription and EBA subscriptions, while the cloud business represents all the results generated by standalone cloud offerings. When you break these two views out, our core business which drives the overwhelming majority of our revenue, ARR and billings growth is performing quite well. Our cloud business performed up to our reset expectations for the quarter. We added 45,000 cloud subscriptions in Q4 which represented nearly 50% decrease against the tough compare to Q4 last year, when we ran a seeding program for a competent of BIM 360. However, from a billings perspective, cloud had biggest quarter ever, fueled by several large wins, including six week top ranked construction companies. We see continued momentum in terms of customers moving to higher value products, BIM 360 Docs and Field. We remain very enthusiastic about the opportunity with our cloud products but keep in mind that the cloud is still a small contributor to our overall business. ARR for standalone cloud grew 23% in Q4 but contributed less than a $100 million of our total $2.05 billion in ARR. So, while cloud will not be a major driver of our FY20 performance, we remain confident, it will be a major component of our business in the years beyond FY20. This brings us to the question, why did the net sub additions fall short for the quarter? The answer is that we experienced greater than expected subscription consolidation as customers are reducing their total subscriptions in favor of collections. We’re seeing this reflected in the general adoption of collections with a mix of collections within the product subscription base more than doubled year-over-year, and now represents over 20% of the product subscription base. The good news is that most of these customers are increasing their total spend with Autodesk, contributing to solid increases in ARPS and ARR. So, our core strategy of driving upsell to industry collections is working better than we anticipated. We’re also seeing the impact of collections up selling with both regular renewals and with customers participating in the M2S program. And the upsell effect related to M2S is happening across all geographies. To give you an idea of how this works, I’ll give you a real example of the Canadian engineering firm and their M2S transaction from Q4. They had 42 maintenance subscriptions up for renewals, 20 AutoCADs, 21 Navisworks and one Premium Suite. They migrated to 19 subscriptions of the AEC collection and one AutoCAD subscription, a net reduction of over half their seats. However, the account value for this customer increased by over 10%. This happens enough times and you get a depressive impact on our net sub adds, as a result of collections upsell, but a pronounced increase in overall ARR. So, that should help you understand what’s happening. This is a positive outcome for ARR and ARPS, but it negatively impacts our net sub adds. Beyond that, we believe this issue will work itself out over the course of the year as most of our largest customers complete their maintenance to subscription migration. Despite the impact from collections upsell, sub adds in our core business increased 14% year-over-year and accelerated from the prior three quarters, led by a record number of product subscription additions. Even when normalizing for M2S, the base of product subscriptions nearly doubled year-over-year, and EBA sub additions increased over 30% fueled by the strong Q3 EBA deal activity. The core business drove more than $1.9 billion of our total ARR in Q4, and grew more than 25%. Another consistent attribute of the transition is that new customers continue to make up a meaningful portion of product subscription additions and represented close to 30% of the mix for the quarter. These new customers come from a mix of market expansion, growth in emerging markets, converting unlicensed users and people who have been using an alternative design tool. We will go into much greater sub results and modeling details at our Investor Day in a few weeks. But there wasn’t anything in these numbers that alters our conviction in our ability to drive ARR and cash flow. Now, I’ll turn it over to Scott for a few more details on the M2S program, ARPS, and other financials. Scott?
Scott Herren: Thanks, Andrew. Subscription plan subs grew by a record 371,000 during Q4 with growth in net subscriptions coming in all three categories, cloud, enterprise and product subscriptions. Partially offsetting the growth in subscription plan subs was the expected decline in maintenance plan subs, primarily related to the M2S program. M2S program continues to progress faster than expected, especially in the Americas. In Q4, customers migrated a 168,000 maintenance subs to product subs. Similar to last quarter, approximately one-third of our maintenance renewal opportunities during Q4 migrated to product subscription. Those [ph] who migrated over a third of eligible subscriptions, upgraded from an individual product to an industry collection, which is the highest upgrade rate we’ve seen yet and relates to the collections upsell effect that Andrew just spoke about. The renewal rate for maintenance customers held steady in Q4. However, remember that Q4 has the biggest pool of maintenance plan renewal opportunities, and consequently the decline in maintenance subs is always greatest in Q4. We’re very pleased with the M2S program to-date and we’ll continue to encourage maintenance customers to move sooner rather than later. We expect fiscal ‘19 to be the biggest year for M2S migrations. It makes more economic sense for our customers as the cost of staying on maintenance will be higher than the cost to migrate. And product subscription provides them the greatest value with increased flexibility, support and access to our five products. Now, let’s talk a little bit more about annualized revenue per subscription or ARPS. This is the anticipated quarter where we saw ARPS inflect up for all the reasons we’ve been calling out including improvements to the product mix and the geo mix and the base of our product subs, the price increase for the M2S program, less discounting and promotional activity and selling more direct to our customers through our e-store. Collections upsell is having a positive impact on ARPS. Our total ARPS grew 5% year over year and 4% sequentially. Breaking it down, maintenance plan ARPS continues to grow as expected, driven by mix and the annual price increases we rolled out as part of the M2S program. Product subscription plan ARPS showed a 6% sequential growth. If we exclude the effect of M2S, the product subscription ARPS grew 8% sequentially, had its fifth consecutive quarter of sequential growth and grew 20% year on year. That meaningful growth in ARPS was the largest component of our core business Further if we isolate on our core business which again is maintenance plus product subs plus EBA subs, core ARPS grew 10% year on year and 5% sequentially. These are the ARPS trends we’ve been predicting since the start of the transition, and I know have been a source of question for many of you. Looking at our business mix. Once again, total direct was 30% of the Q4 mix. One of the key investment areas for Autodesk has been our digital infrastructure with the goal of making it easier for our customers who choose to do business directly with Autodesk. Our e-store is a big part of that and we’re very pleased that we’ve already grown that channel to nearly a $100 million in fiscal 2018 revenue. In addition, our e-store generated approximately 20% of the product sub sales in Q4 and close to 50% of LT subs in the Americas came through the e-store in Q4. That’s tremendous progress in the short amount of time, and we expect to see this continue to grow. The biggest component of our direct mix is still the business we do with large enterprise customers. Q4 is always our biggest quarter for large deal activity and we signed a record number of $1-million-plus deals in Q4, over 70 of them, including 14 contracts valued at $5 million or more. Most of these large deals were EBAs. And on average the contract value for EBA renewals increased over 40% compared to the original EBA contract value. For those of you who might not be as familiar with the history of Autodesk, these large deals stats are quite remarkable, even compared to just 5 or 10 years ago. For our product innovation and forward thinking, Autodesk has evolved to become a trusted partner and thought leader with our customers. Many are now coming to us, seeking our guidance on how to prepare for the confluence of design and make, which is already happening in certain industries. Moving to spend management. We continued to be able to execute well while keeping spend flat on a constant currency basis for both Q4 and fiscal 2018. The restructuring action we initiated last quarter is allowing us to reallocate our spend to increase investment in areas that drive long-term value while reducing spend and making targeted divestments in other areas. We also remained committed to keeping fiscal 2019 non-GAAP spend flat at a constant currency relative to our fiscal 2018 budget at about $2.2 billion. Looking at the balance sheet, reported deferred revenue grew 9%. At the same time, unbilled deferred revenue increased by $178 million sequentially, bringing total unbilled deferred revenue to $326 million, as a reminder, this completes the first full-year of moving our enterprise customers to annual billing terms. If we consider total deferred revenue as reported deferred plus unbilled deferred which is a fair comparison for last year, deferred revenue grew more than 25%. Since most of our enterprise customers are on three-year contracts, an entirely new group of enterprise customers will come up for renewal this year and next year. So, the amount of unbilled deferred revenue will continue to grow meaningfully. Q4 cash flow was stronger than expected, driven by good billings linearity in the quarter. The strength of the Q4 cash flow allowed us to finish the year just in the black, [ph ]which is also better than expected. When it comes to capital allocation, our stock repurchase program continues to be primary use of cash and we opportunistically accelerated that program in Q4, buying back roughly 2.4 million shares. At our last investor day, I indicated that we would use the majority of the $1.7 billion cash balance we had available at that time for stock repurchases. Since then, we spent over $900 million on share buybacks. In fact over the past few years, we’ve reduced our absolute share count by close to 3% and we remain committed for managing dilution and reducing shares outstanding over time. Before getting into our outlook, I want to touch on two high profile items that are impacting every company, tax reform and ASC 606. With the start of the new fiscal year, we’ve adopted the new revenue accounting standard, ASC 606 and we will be applying the modified retrospective transition method. The new standard will not result in the change in timing at amount of the recognition of revenue for the majority of our product subscription offerings and enterprise agreements. In fiscal ‘19, the estimated impact will be a net reduction to revenue and EPS of approximately $40 million and $0.15, respectively compared to what would have been recognized under ASC 605 and a reduction of approximately $20 million in ARR. We will be required to capitalize and amortize sales commissions under the new standard. While we do not expect a significant impact on reported expenses for the full year, the timing of when we recognize the deferred commissions by quarter will vary be compared to historic seasonality. 606 impacts are greatest in Q1 and then dampen as we move through the year and become nominal by fiscal ‘20 and of course none of the 606 impacts to the cash flow. Regarding the impact from tax reform, saying it complex may be understatement. And clarifications from the IRS seem to come out daily. But we have enough information to provide the following. All-in-all, U.S tax reform is good for Autodesk whereby the lower U.S tax rate and the ability to access foreign cash in the future will increase our profitability and help us manage capital more efficiently. We will utilize our deferred tax assets to offset the cash costs of the one-time transition tax. We’re still analyzing the full impact of tax reform but we currently estimate our fiscal ‘19 non-GAAP effective tax rate at 19%. For fiscal ‘20 and beyond, we estimate our non-GAAP effective tax rate to be between 17% and 18%. Now, I’ll turn the discussion to our outlook, and I’ll start by saying that our view of the global economic conditions remains unchanged from the last few quarters with most of the mature markets performing relatively well and little change in the emerging markets. We’re providing guidance this quarter under both ASC 605 for comparison to our historic financials and 606. I would expect the Street to model us using the 606 numbers. We recognized as we introduced guidance for fiscal 2019, you will be able to fill in the blanks for several fiscal ‘20 metrics based on our stated fiscal ‘20 goals. As Andrew said at the top of the call, we are confident in our ability to achieve our important goals around ARR and free cash flow. As we head into the growth phase of the model transition, we’re bringing back annual guidance on billings, defined as reported revenues plus the change in deferred revenues, which should be helpful for modeling our cash flow. I’ll note that while we expect billings to increase by approximately 26% at the midpoint for the full-year, billings growth in Q1 will be much more modest due to a tough compare against strong billings in Q1 last year. Another thing to keep in mind as we model out free cash flow is it there’re couple of one-time impacts to fiscal ‘19 cash flow that total about $130 million. These pertaining to charges for the restructuring and the exit tax from moving our European operations center from Switzerland to Dublin, Ireland. These one-time items together with the strength of our Q4 cash flows will have an impact on the strength of cash flow for Q1, which is likely to be negative. As we emerge from the inflection in our business model transition, cash flow ramps up quickly through fiscal ‘20. Significant part of the ramp is driven by the increase in billings, primarily from what will be a much larger renewal base of product subs and multi-year subscriptions returning to the historic levels we used to see with maintenance. In addition, in fiscal ‘20, we’ll then have two years worth of unbilled deferred revenue flowing into billings, following our transition to annual billings for enterprise customers. The underlying positive trends in our business give us confidence in accelerating ARR growth to approximately 30% for fiscal ‘19. This growth will be driven by fewer subscriptions and higher ARPS which reflects the trends we’re seeing with both our cloud products and collections upsell. As such, we’ve revised our outlook for subscription additions for the year. As Andrew mentioned, our next Investor Day event is just about three weeks from today. We’ll use that opportunity to do another deep dive on the model and provide more details on the recent numbers and the path ahead. We’ll also go into greater on subs and ARPs model that get us to the fiscal ‘20 goals and we’ll revisit our five-year model. Now, I’ll turn the call back over to Andrew.
Andrew Anagnost: Thanks, Scott. I’ll reiterate what Scott just said and assure you that we are confident in our ability to accelerate ARR growth to achieve our fiscal ‘20 ARR and free cash flow goals. And we have a realistic plan in place to achieve those goals. Given the changes we’ve seen at the end of this year, it shouldn’t come as a surprise that we’ll be reducing the subs CAGR and increasing the ARPS CAGR, consistent with the move to fewer, higher value subs in both the core business and in our cloud business. The transition is on track and these model adjustments are happening for the right reasons. We’ll go into all the details at our Investor Day on March 28th. Now, if we look back at the year, we’ve taken significant action to realign our investments and position Autodesk to meet our long-term goals. We are investing in building and expanding the digital infrastructure of the Company, increasing go to market and development spend for the construction opportunity and maintaining development of our core products. I’ll finish by repeating these three strategic priorities that will drive long term success at Autodesk, completing the subscription transition, digitizing the Company, and reimagining manufacturing, construction and production. We have already made significant progress in addressing the tremendous new market opportunity in the construction market and we will continue to pursue that market aggressively. In addition, some of you may have noticed that we are increasing our efforts in the manufacturing space as we just opened the new advanced manufacturing facility in Birmingham to highlight the work we’re doing to move product design and manufacturing companies to a new hybrid, additive and subtractive future. You’ll see more of that over the next couple of years and you’ll also begin to see the first results of our efforts to re-imagine production. To wrap things up, I want to thank our customers but especially recognize our employees and partners who’ve worked so hard to make last year a success. We’re excited to be now in the growth stage of the transition to see accelerated growth in ARR and to be another step further along the journey of our transition. We’re confident in our long-term plans and ability to execute while providing our customers with greater ability, more compelling products and a better user experience. Operator, we now like to open the call up for questions.
Operator: [Operator Instructions] And our first question will come from the line of Philip Winslow with Wells Fargo. Your line is now open.
Philip Winslow: Thanks, guys for taking my question. Obviously, we’ve been focused on ARPS since mid-2015. So, it’s really exciting to see the inflection here in that number in Q4. So, congratulations on that. And my question is on ARPs. Obviously, you said you are going to give us more details in terms of just the framework for the long-term guidance at Analyst Day but wonder if you could talk about sort of ‘19 and ‘20, the puts and takes that you see because there are a lot of things going on. Obviously the price increase is on maintenance, less discounting on the M2S as well as just discounting overall. Just help us kind of frame out the puts and takes here of ARPS, as you think about it to 2020.
Andrew Anagnost: Yes. So, let me give you a little perspective on what’s driving it. First, kind of let me frame the problem a little bit. One of the things I want to make sure you’re seeing is the same thing that we saw. So, the core is doing incredibly well, sub base grew 14% year-over-year last year. We’re going to see that number continue moving forward, at least at that level, which is line with historical levels. So, the core’s doing really good. And when you look forward, you guys have probably noticed where we are with our guide. Most of that guide is due to our reset expectations in cloud. So, you’re zeroing in on exactly the right thing right now on ARPS. So, what’s driving the ARPs, specifically? So, what we’re seeing is an acceleration of some of the strategies that we already put in place and we talked about in the past. The first one is being the upsell of the collection. Like I said in the prepared remarks, we’re seeing an acceleration, more people are -- as they move from M2S are taking us up on the move to collections. More people in the run rate of our core business are moving to collections. You’re going to see those phenomena play out into next year and beyond. The other thing that’s getting accelerated right now is our price realization efforts. And this comes from basically three components, one, better execution of the e-store, which by the way is very high -- price realization channel, our renewal base changes in terms of the channel costs to renew product subscriptions. We’re making some changes there, we’ve made some changes in the low end margins of our businesses, particularly around LTs. That is accelerating our price utilization and we’re doing much better in terms of managing the promo discounts across the products. All of those things in fact that they are accelerating are going to drive up ARPS as move into next year or beyond.
Operator: Thank you. And our next question will come from Saket Kalia with Barclays. Your line is now open.
Saket Kalia: First, maybe for you, Andrew, thanks a bunch for the example on the Canadian engineering firm to kind of show that net add and ARR dynamic. But just to make sure that we understand, the question is, are customers buying for fewer engineers? I guess, why is that a collection is able to handle fewer seats, if presumably seats are good proxy for employees? I guess, I think we all appreciate the ARR lift that you’re getting but talk you through why you think about this -- I guess how you think about this dynamic, when you think about seat share within your customers, if that make sense?
Andrew Anagnost: Yes. Saket, I’m really glad you asked this question. So, this is the dynamic of subscription versus users, and this is a anomaly of how we’re counting our business. So, what you saw in that example is each user actually had two subscriptions. So, the number of users in this company did not change at all; it’s just so happened that each user had a seat of AutoCAD and a seat of Navisworks Manage seating on their desktop. So, what happened is, is the customers said, well, I can now take this M2S offer, move all of those seats to collection, not only do they get AutoCAD, Navisworks Manage, but they get Revit as well, and that’s what the customer did. So, the number of engineers sitting there exactly the same, the number of subscription sitting on each engineers desktop, one from two. Makes sense?
Saket Kalia: That does. That makes a lot of sense.
Andrew Anagnost: And we’re seeing that broadly.
Saket Kalia: Got it. Maybe for my follow-up, just a little bit of an expansion of Phil’s question. Could, either you or Scott, just maybe talk a little bit about the shape of M2S in fiscal ‘19? I guess, it feels like we saw a nice reaction to some of the pricing strategies here in fiscal ‘18. I believe the next action will build on that. Can you just maybe walk us through, how you’re thinking about the maintenance base by the end of fiscal ‘19? And target back to ARPS, how should we think about the impact that that could have on ARPS?
Scott Herren: Yes. Saket, it’s a great question. We are expecting to see an acceleration of people, maintenance subscribers that as they come up to the point of renewal, seeing them move to product subscription. It’s already moved faster than we expected, as you know in fiscal ‘18, 110,000 migrations in Q3, 168,000 in Q4. Both of those numbers were higher than expected. As we look at next year, the economics change again. And the price to renew goes up 10%, the price to convert only goes up 5%. So, the economics actually swing in favor of conversation even more strongly. And of course, the product subs has higher value to our customers, in terms of access and ease of management. So, I think we will see it accelerate. What we haven’t done is gone into trying to forecast each of the subcomponents to give you a sense of that. But, I think our expectation all along is that fiscal ‘19 was the biggest year for M2S conversions. And I think seeing how quickly it’s already moved in fiscal ‘18, I think we will see that acceleration happen again in fiscal ‘19. In terms the effect or ARPS, I don’t think it has a massive effect either way. The price to convert or the price to renewal is still relatively close, little bit more expensive to renew maintenance, but I don’t think it will have a big -- I don’t think that by itself will have a big effect. What is likely to have a bigger effect is people who at the point of migration from maintenance to subscription, the people that do -- like the example, we used in the opening commentary and actually move up from individual licenses up to the collection.
Operator: Thank you. And our next question will come from the line of Sterling Auty with JP Morgan. Your line is now open.
Sterling Auty: Based on the positive comments that you made around the number of users eligible to move to subscription that did and some of the other elements, is there a read through on churn? So, in other words has churn actually improved over the last couple of quarters?
Andrew Anagnost: So, in fact, Sterling, what we’ve seen is there’s absolutely no change in the churn rate of the maintenance base. So, the maintenance base quarter-over-quarter, year-over-year is holding solidly at the same kind of renewal rates we’ve seen historically. What you just see is more people are deciding to take the maintenance to subscription offer and of those people even more and acceleration over the previous quarter are choosing to go to collections. But the actual renewal rate of that base has remained solidly intact on a quarter-over-quarter and year-over-year and even trend wise.
Scott Herren: And to your point, Sterling, that an aggregator renewal. We do it on seat counts today. So, what it implies is because you got consolidation going on, the remainder is actually seeing a bit of an uptick in renewal rate, because some of them are dropping off. And like the example we pointed to, are dropping off certain subscribers as they consolidate up to collections. So, I think it’s -- we are very pleased with renewal rates we are seeing in aggregate.
Sterling Auty: And then follow-up on the EBAs, did you measure the subscriptions in arrears? I think that’s an element that can cause the noise within the net subscriber count, if you will. Wonder if you can give us some insight into maybe some previous cohort. So, in EBA from three, four quarters ago, how does that number of subscriptions contribution into the total count fluctuate?
Andrew Anagnost: The biggest impact we see is on the first measurement of MAUs. So, a customer that buys an EBA, in every case has had a largest state of perpetual licenses that are on maintenance, and then convert those perpetual over to an EBA. So, the first effect you see is maintenance subs go down, enterprise subs go up. And then the first thing -- and because anyone in the company now has access to the license, we count MAUs, instead of people have access to it when they move to an EBA. After 90 days of measuring the MAU, that’s what gets added to the subscriber count. And what we typically see a pretty significant uptick at that first read. Beyond that, we continue to see growth and it’s that volume growth and usage that drives one of the stats that we talked about in the opening commentary, which is we’ve had several renewals of EBAs in Q4. And on average, the renewal is 40% higher than the original EBA. That’s driven by usage; that’s not -- it’s not as much price driven as it is by usage. So, big uptick on the first measurement and then slight upticks out through the remainder of the three years.
Operator: Thank you. And our next question will come from the line of Zane Chrane with Bernstein Research. Your line is now open.
Zane Chrane: I was wondering how should we think about the timing and magnitude of the EBA billings cycle change to deferred revenue for fiscal ‘19 and ‘20. And then, the second question, what’s been the feedback from customers on the new features and functionality with the new model subscription versus legacy licenses, is the features, new function that's driving the migration of license all users or is it more of a financial decision given the upfront cost.
Scott Herren: I'll take the front end of that and let Andrew talk about the value prop of moving to subs. This is the first year where we migrated the majority of -- the overall majority of our EBAs over to annual billings, so it’s still a three year commitment but billed annually. So if you notice one of the staff that we're providing now is unbilled deferred. What that represents almost entirely represents is year two and year three of EBAs that we signed this year. A few other goals small cats and dogs in there, but almost all of that 326 is the second and third year of the EBAs we signed this year. So you can tell half of that 326 will come out in fiscal '19, the other half will come out in fiscal '19. Fiscal '19 we'll sign another whole cohort of EBAs and in each case those will also be on annual billing so I expect to see that $326 million balance grow these year as we add two more years of unbilled deferred to the balance but only bill one year out of that 326. So the 326 will be something higher at the end of fiscal '19, I think it's pretty straightforward and we'll provide you those stats for you each quarter, it's pretty straightforward for you to set up a waterfall model then understand how that's going to accrete into future billings.
Andrew Anagnost: This is Andrew. With regards to the other question about what’s driving their motion right now? If you're looking at a standalone product right now the financial incentive is probably the core thing that is driving the momentum in terms of maintenance to subscription moves because they're essentially seeing the same product with a cloud wrapper around it. We are getting a lot of feedback that the inclusion of some of the new cloud wrappers, we put in with the product around collaboration and sharing in conjunction with the support offering, we entangled with subscription is adding a lot of value. When you look at collections and the increase in people choosing collection, that's more than just the financials incentive. The collections have actually been beefed up progressively for instance in the product design and manufacturing collection, we've added machining capabilities into the collection and people are noticing that and choosing the options. Same with the ADC collection, we've added some core capabilities that are making it more attractive for people to decide to take the collections option as they move. So it's kind of bifurcated in terms of standalone products and what we're seeing with collections. Everybody likes to support us. I said everybody likes the support, the added support.
Operator: Thank you. And our next question will come from the line of Michael Nemeroff with Credit Suisse. Your line is now open.
Michael Nemeroff: We've been talking with a lot of your channel partners throughout the quarter and there's obviously a shift occurring in the channel's of involvement in your new product sales. How, Andrew, how do you view the channel's role in new product sales over the next couple of years and what are you expecting from them?
Andrew Anagnost: So I think I've stated pretty emphatically over time that channel one is still an important part of our business, as we move out to steady state we expect our business to be 50-50 split between direct and indirect with everybody seeing a larger business, we'll have a larger direct business, they'll have a larger indirect business. So channel the strategic component of our execution moving forward. In the new businesses when it comes to booting up new business, a lot of the hard work has to be done by Autodesk first, channel partners, really, really want to get engaged in new businesses early on and we do engage them at various points in new business. But it's better if we do some of the early market seeding and market development efforts and then start to migrate the business more over into the channel. We've been doing that with BIM 360 and some of the new application, but we kind to try to take a measured approach. One area where we really engaged partners in the future is the Forge platform and building out customization on the top of our cloud platform, that’s an area where encouraging partners with step out and get engaged in really early because that allow them to stitch together our solutions for their customer and really driver this services business, which we think is not only important for us long-term with the fact that we’re going missing new types of customer solutions build on Forge it's important for them.
Operator: Thank you. And our next question will come from the line of Heather Bellini with Goldman Sachs. Your line is now open.
Heather Bellini: I was just wondering, Andrew. How do you feel about cloud as you look furthering out as being a TAM expander? There has been a lot of questions talking through kind of how you get here to $6 in free cash flow, and by the way I’m assuming you guys didn’t explicitly state that, but I guess people are asking about still your target. And then when you look at to your further target of fiscal 23, how important is cloud as TAM expander to get to that level and what do you see as being a driver for that to drive adoption?
Andrew Anagnost: First off let's be very clear, we’re affirming the $6 and we’re committed to that, so let me super clear on that one. So now when we look at the cloud, so let’s be super clear on few facts. So first off in Q4, we added 45,000 cloud subscriptions in the quarter okay, a lot of people would love to have that number. So that’s the net add, it’s a net add, so it’s a robust add, we have record billings, robust billings growth, the cloud is right where we expect it to be at this point. What we decided to do strategically and I think it was appropriate is, we deemphasize and moved away from the super low end cloud subscriptions we have. They came under the guise of BIM 360 team and Fusion 360 team, and moved much to our portfolio strategy around things like docks and field and higher value fusion offering. That was a very deliberate choice and that’s why you see some of these subscription guidance’s that are being heavily impacted by the change in the way we’re executing on cloud. But now as you look out forward, in terms of our business developments efforts in the cloud, we’re exactly where we should be in the cycle as we move to FY 23. So one more facts just to comment on FY23 before I talk about the cloud is, the business model transformation, the move to subscription to core business doesn’t just suddenly run out of steam, as moved to FY23. It provides a solid growing foundation that we build upon, but to get those FY23 targets, you’re defiantly going to see us at a lot more cloud businesses as we get to Fy23. It's not necessary for FY23, it's absolutely plan of the FY23 plan and you’re going to see us growth at those organically and in organically like we done with any new business in the past.
Operator: And our next question will come from the line of Jay Vleeschhouwer with Griffin Securities. Your line is now open.
Jay Vleeschhouwer: First question Andrew, you touched on this is the role of eStore, I think you said about a 100 million for fiscal ’18 and at some point you would expect it to be at least half of the direct business which would be quarter of the total business. So if I would say fiscal 22, 23, you are a 12 billion plus company, you are looking at potentially roughly $1 billion eStore business. So if that on totally, but could you talk about infrastructure scaling requirements or mixed expectations you have to get that kind of multiplier of your eStore business from fiscal '18? And then last question has to do with your product roadmap or product development execution. You did that very well starting 15 years ago with the maintenance program moving for annual release in that first engine flywheel to recurrent revenue. Given all the changes in the Company you talked about a year in terms of core products and changes in R&D to R&D management and all the rest. Could you talk about your execution plans for development not just in cloud for the next year or two to make sure that you keep that flywheel going for recurring revenue?
Andrew Anagnost: So, let me start with the infrastructure question, so you are right, we've been moving up close to a $1 billion eStore business as we move out into those outlying years, and infrastructure investment is required to make sure that we manage that base in the appropriate way, so I'll talk about this whole effort around digitizing, the Company is investing in digitizing the Company. We already have the transactional infrastructure to get to that number, so we can take the order, we can manage the entitlement, but there's a whole wrapper of infrastructure around a $1 billion base, I mean just think how many subscribers has to be in the millions, and you want to take care of that phase, you want to engage with that phase, you want to have intelligence on that base. So that you can easily what's going on with those customers, that's the infrastructure we are building out, the inward facing infrastructure that allows us to understand that came to us electronically. But also the infrastructure that faces the customer, that allows them to on their own without any intervention from an artist person, manage their relationship with Autodesk. So you will see the building of both of those pieces of infrastructure over time. Right now, obviously, we've already got the core transactional infrastructure to drive the results here. Now when we talk about the R&D case, so one of the things I did and I think you astutely noticed this is that we split the development efforts up into essentially what is the core business designing creation products in venture, AutoCad, Revit, Max, Maya, and the new business products essentially around the cloud, construction based products, the new kind of advanced manufacturing products. One of the key things that's going on inside the design creation organization is splitting that flywheel on development with a rapid cadence of small incremental additions and upgrades to the product that keep the customer seeing progress. Now they're going to see progress not only in the product but for those people who manage large installations over the next 18 months or so, they're going to see progress on how easy it is to manage their installations with Autodesk. So over a 12 to 18 month period people are going to see a lot of functionality show up. The experience we aspire to Jay, is kind of like what you’re seeing with Office 365 right now, where these little kind of updates come in and it gives you a quick little dialogue -- here is a figure that I just -- we just updated for your Office experience, that's where we are heading, we are actually making very good progress in that direction, and that's how customers are going to be able to digest a continuous stream of upgrades without this kind of big thud that we used to do.
Operator: Thank you. And our next question will come from the line of Ken Talanian with Evercore ISI. Your line is now open.
Ken Talanian: So I was wondering if you could give us a sense of what kind of uptake you've seen from non-subscribers during the year and then any plans to address that base going into fiscal 19?
Andrew Anagnost: Historically, the nonsubscribers are kind of absorbed into our run rate, we run promos, we've been running promos on a case about twice a year, so you saw that we did fairly successfully in the promos, I can't remember exactly the number of nonsubscribers we brought in through promos last year. We did two promos, one in Q1 and one in Q3. What we're doing this year as we move forward one of the non paying nonsubscriber side this is the year we're kind of instrumenting our license compliance efforts so we are actually putting out more intelligence and capability that actually tells the customer in the product that they're working with a non-compliant copy and maybe they might want to investigate how they got there and also allowing them to contact us quickly and buy. If you look at what we did with the legacy wing, where we're doing the legacy base, the nonsubscribers that have fallen off maintenance and they're sitting on all perpetual licenses. We're actually rolling out a new set of promos at lower discount but actually has some insurance policies built into it where if the customer moves and falls off two years from now they can default back to the old perpetual release they had at the time they moved. They don't get the latest they just get their old way, so it's like an insurance policy to provide even more attraction to that base to come and move forward. We're going to see how that works as we move into this year. This past year I've got the number in front of me, we moved 50,000 users into our paying base from promotions like this. We actually expect this new promotion to do as well if not better than some of those past promotions.
Scott Herren: Yes and Ken, promotions are one way that we go after the legacy base, as you know in many cases they end up coming back to us as the product they're if they're not on maintenance, the product they're using ages out and as it gets older and older their ability to communicate with other partners around them whether they're manufacturing in part of the supply chain or it’s in their contractor on ASC as their version becomes more and more down level their ability to exchange files becomes harder and harder you know file types change through time. So promos is one way kind of a financial lever to pull the other is they as since all of these are network type used products in other word they're used in conjunction with other companies they end up needing to get the latest release just to stay compliant.
Ken Talanian: Great, and I guess just a bigger picture question, could you rank order what factors might cause you to exceed your current ARR growth targets for fiscal '19.
Andrew Anagnost: Yes, I mean that's a little bit of a loaded question. What I'd say, what we've seen so far is faster progression in ARPS growth than we have previously anticipated, a lot of it based on the factors that again Andrew talked about earlier. Some of it’s coming from consolidation of subscriptions where people are moving up to the collections that are faster paced than we saw. The uptick of maintenance of subscription has been a bit of a catalyst for that, e-store has been bigger than we expected and we'll continue to drive that faster. Our renewal base, remember when we sell a new product through the channel there's a higher margin for the channel partner that we saw a renewal through a partner. And as our renewal base grows out through time, the lower channel cost and effect accretes to us as well, that's also driving ARPs, so there's a whole set of things that are driving ARPS growth even faster than we had expected, I'd say that's probably been the bigger upside and you've seen subs in particular around cloud, subs are coming at slightly lower level but at a higher price point.
Operator: Thank you. And our next question will come from line of Keith Weiss with Morgan Stanley. Your line is now open.
Keith Weiss: We've seen two horizontal row where the net subscriber to come in, sort of blow peoples expectation and you guys have taken the targets down. And if I’m not mistaken there is two different explanations kind why have been last quarter is more about, sort of heavily promoted classification is not being in the going forward basis and this quarter is more about the difference between what our subscriber is and what our subscription is in, subscriptions more sufficient to come into one support, getting into one collection. How do we garner confidence that this is the last kind of take down in terms of our net subscriptions ads estimates on a going forward basis? Is there any kind of visibility you give us into sort of any, sort of excess that might be in that base on a going forward basis that you feel comfortable that this number is not coming down again?
Andrew Anagnost: First let me acknowledge your frustration then you might be having with the way that is played out over last two quarters, I just have to acknowledge that, I mean it doesn’t help you with your modeling. It doesn’t help you with some of your core effort. So I absolutely want to acknowledge. I wanted to go back to some fundamentals here, so we get kind level set and then I will answer your question specifically about the, so first off remember we broke out the core and we file deliberately, now so you can start seeing dynamic, the core grew 14% for the year, so the subs basin in the core grew 14% for the year, that’s in line with historical behavior, we’re going to see that same number of greater moving forward. So the core shows some nice straight and stability. What we did see this quarter that was not anticipated the right was just acceleration in the collections activity associated not only with the run rate with M2S and it wasn’t acceleration, it was off the trend of the previous two quarters in terms of how fast people are moving and yes, that did result in this consolidation resulting from up sale but for the right reason, we saw the appreciation of ARR associated with that. So when you look forward to what we’ve done with the guide, I got to said earlier the vast majority of the most of that guide is due to our cloud reset expectations and the majority of that cloud reset is due to simply not driving these super low value cloud subscription. When you look at the core our CAGR for FY20 is essentially unchanged for the core business, so what can garden your confidence here as we understand a lot more what’s going on with the cloud, we’re not prepared for more acceleration around consolidation as we seen it move forward, we know how to play out through FY19 and we’re holding to the CAGR for the core business that we expect to have in F18, and that’s where we’re at. Do you want to add anything else Scott?
Scott Herren: Keith, the only other thing I'd say is even in those two quarters as you point out with subs something in, perhaps certainly lighter than everyone externally expected in Q3, lighter than our own expectations in Q4 in each quarter ARR perform nicely and they are really has been, we set our long about our top goal is to drive ARR and to drive cash flow out of that ARR, do you remember Q3, ARR grew 24%, so that’s been before that actually able to seven consecutive quarter of increasing growth rate in ARR and again 25% in the quarter we disclose. So ARR continues to perform nicely even as subs have been little bit lower than our expectation in the last quarter.
Keith Weiss: I definitely understand the ARR is the key number you are looking at, but also want to have confidence in the components as it's building as ARR, sort of there's a trend line there going on in line with my model?
Andrew Anagnost: I get that. I totally get that.
Scott Herren: I want you go back to that core strength that we are talking about here because that's the important driver. The layer on top of that, the factors we are talking about around are ARPS appreciation, associated with up sell collections, that are price utilization and the reduced thermal activity and by the way don’t underestimate how the acceleration of price utilization is going to affect the year moving forward. Those are things you want to pay attention to the core. That's why we are trying to help by breaking out the two.
Keith Weiss: And longer term I mean do you think there's any chance that you'd have a view on subscribers versus subscriptions?
Scott Herren: It's a conversation we have a lot, part of the investment, Andrew has talked about three big priorities that we are investing in, one of them is digitizing the Company, part of the effort there in digitizing the Company is to be able to count users as opposed to subscriptions. Historically we sold shrink wrap product that was -- that had license number with it. So you can track license numbers, but you can't always track on the one-to-one basis is who the actual user of that license, part of the investment that we are making in digitizing the Company will give us much better insight into account level metrics and within that usage metrics, so yes we may get to that point, we are not there today.
Operator: Thank you. And our next question will come from the line of Monika Garg with KeyBanc. Your line is now open.
Monika Garg: So, I'd like to go back to the ops point, if you look at your fiscal 2019 guidance, you are guiding ARR to 30%, but your net sub adds go to about 14%, that means you are guiding ARPS growth of some mid 60ish percent, just to give walk within that end factors kind of how we achieve this kind of pricing increase?
Scott Herren: Monika, it sounds you are looking at the 605 guide, the midpoint of the guide to ARR, under 606 which is really what I'd like everyone to adjust their models to is 29%, but your math is still directionally right. And I think the ARPS growth drivers will be the components that we talked about is continuing up sell to industry collections and particularly as maintenance to subscription accelerates, what we are seeing is as people make that choice of those who are eligible to upgrade, more than a third are taking that which is -- so that's going to push more people to industry collections that obviously drives ARPS up. These will continue to grow, the renewal business is a big part of the ARPS curve, and so significantly higher yield to Autodesk, when the channel partner itself are renewed versus selling a new product and so as renewals becomes a bigger part of our overall revenue, obviously the cost of selling through the channel comes down, that drives up our price realization and we have made some very specific changes on partner margins around the low end, specifically AutoCad LP and what those margins look like. So, you add those factors together along with kind of reduced promotional activity and discounting, that's what drives -- that's what going to drive ARPS growth rate, and if anything what we've seen is it moved up faster than we expected.
Monika Garg: Thanks Scott. Then this is a follow-up, your first Q revenue growth guidance is somewhere 14%, 14.5%, but your yearly guidance is somewhere 21%, 22%, which would mean steep kind of ramp acceleration in revenue growth towards second half. Maybe walk us through the factors that would lead to accelerate? Is it like ARPS growth is more second half weighted or any other reason effective?
Scott Herren: Yes, exactly what it is, and as you are -- if you recall, so it's ARPS growth mostly, we do see some growth in subs throughout the year but it's mostly ARPS growth but remember to the maintenance and subscription program that the annual change in price points on that come into effect in Q2, and so that also that not only affects Q2 but of course it -- when we saw that it drops into deferred revenue and comes back out of deferred revenue as the year goes on, so it has a lesser effect earlier in the year and a bigger effect later in the year.
Operator: Thank you, and our next question will come from the line of Steve Koning with Wedbush Securities, your line is now open.
Steve Koning: Thanks, hi guys, thanks for your explanations on the mechanics of how this is going. I want to ask one question on maintenance subs and then just a follow-up question on ARR and then converting billings growth. So on the maintenance subs, Scott, I think you said the expected decline in maintenance subs was primarily related to the M2S program so that kind of leads me to the question, if that was the primary factors, what are the secondary factors in the decline and maintenance subs?
Scott Herren: Yes, there's always a certain amount of non renewed, we don't have a 100% renewal rate Steve, so as the maintenance space is bigger in Q4 that drives the other piece of why you saw the decline in maintenance subs, so 168,000 of the 244 that maintenance came down. 168,000 migrated the remainder are some form of non-renewed. Remember the example we gave though, right. That customer, those were 42 licenses on maintenance that converted over to 20 subs, so some of that, some of that non-renewed is actually good news it's individual licenses that are converting up to collections.
Steve Koning: Got it, got it, okay thanks for that, and then on the follow-up, is there anything that could surprise you guys when it comes to eventually converting that ARR to billings growth and then I want tp sneak in maybe a related question if I could define it that way. Thinking about post fiscal '20, how should we think about how ARPS and free cash flow, how that trajectory flows after fiscal '20 should the ARPS grow peak in fiscal '20 then decelerate fairly gradually cause you're still layering on you know subscriptions faster than you're trading the base and so how should we think about that longer term trajectory as well?
Andrew Anagnost: Okay, that's quite a suite of questions there Steve. Let me take the billings one first, the -- I think the other thing to think about as we talk about as we talk about you know ARPS and how that's going grow and how that's going to drive billings out through fiscal '20, billings so the two big drivers of cash flow which I think is the source of your question are net income you have a good sense of that from the targets we've given and billings which drives deferred revenue growth. The only other effect besides the ARPS growth that will drive the billings side of that, that you need to bear in mind is we've always had a steady proportion of customers who buy multiyear, so if you go back to when, before we started the transition we were selling maintenance agreements, somewhere between 20 and 25% of our customers who bought a maintenance agreement bought a multiyear. That's been pretty steady, of course when we launched the maintenance the subscription we cut that off, we cut off multiyear maintenance subs. What we've seen interestingly in product subs off a much smaller base of course is many of them are also buying in fact it's almost the exact same proportion of product subs customer are buying multiyear as well. So as you think about your billings model out through fiscal '20 remember that we've had a decline in physical '18 in billings driven by no multiyear maintenance. The same proportion of customers are also buying multiyear product subs as product subs becomes a bigger part of the base, that's going to drive billings as well. The other factor to layer in, two other factors to layer in on that, the bleed back of unbilled deferred which we talked about earlier with Zane's question, make sure you’re modeling that in, right. We have a year of unbilled deferred that’s build up to 326 million that will build again in fiscal ’19 and then by fiscal ’20 we will have two years of unbilled differed leading back to the billing stream. So at that and then finally from just from a cash flow and optimum billing standpoint, the fiscal ’19 has these two one-time events that total about a 130 million of cash outflow, partially driven by the cash payments for eh restructuring, partially the exit tax from moving our operational center in Europe from Switzerland to Dublin, Ireland.
Andrew Anagnost: And the only point I'll add that Steve just to reinforce what we said about the multiyear, the multiyear is not going to happen for no reason at all. As we enter into fiscal 20, we’re absolutely entering the first group of customers, M2S customers, they're seeing their M2S period, and so they are going to lock in there price, that’s been a historic behaviors, what happens is customers say okay, I don’t want to see, I want some price stability out there so they will buy multiyear. And the fact that we had this large trench of initial MTS customers, you will see that just naturally migrating the business in FY29. And then guys if you could answer the question I smock in there, that would be great, which is how should we think about the trajectory after fiscal 20 in terms of growth rate, as we layer on the subscription revenue and more of that, I tell you get more of a steady state, how should that progress.
Scott Herren: Steve I think it's there is no big change for the path that we had laid out in that, at our last investor day we call it to the better thing to do right in front of tackle the moving parts here. We have our investor three weeks from tomorrow here. And at that point, we will not give you a little more granularity on the path of fiscal 20, but we will also give you little more granularity on the five year plan, so that may be the best thing to do with hold off on that until March 28th.
Operator: Thank you, ladies and gentlemen, this is all the time we have for questions today. So now I'd like to hand the conference back over to David Gennarelli, Investor Relations for any closing comments or remarks.
Dave Gennarelli: Thanks everybody and as Scott just mentioned, we have our Investor Day coming on up on March 28th here in our office in San Francisco. We'll also be at the Bernstein Conference on April 10th in Boston. We’re going to follow that up with an NDR in Boston on April 11th and in New York on April 12th. If you have any questions in the mean time, you can reach me at 415-507-6033. Thanks.
Operator: Ladies and gentlemen, thank you for your participation on today’s conference. This does conclude the program and you may all disconnect. Everybody have a wonderful day.